Operator: Good morning. My name is Lisa and I'll be your conference operator today. At this time, I would like to welcome everyone to the Shopify Q4 2018 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Katie Keita, you may begin your conference.
Katie Keita: Thank you, operator and good morning everyone. We are glad you can join us for Shopify’s fourth quarter 2018 conference call. We are joined this morning by Tobi Lütke, Shopify’s CEO; Harley Finkelstein, our Chief Operating Officer; and Amy Shapero, our CFO. After prepared remarks, we will open it up for your questions. We will make forward-looking statements on our call today that are based on assumptions and therefore subject to risks and uncertainties that could cause actual results to differ materially from those projected. We undertake no obligation to update these statements except as required by law. You can read about these risks and uncertainties in our press release this morning as well as in our filings with U.S. and Canadian regulators. Also our commentary today will include adjusted financial measures, which are non-GAAP measures. These should be considered as a supplement to and not as a substitute for GAAP measures. Reconciliations between the two can be found in our earnings press release, which is on our websites. Finally note that because we report in U.S. dollars, all amounts discussed today are in U.S. dollars unless we say otherwise. With that, I will turn the call over to Harley.
Harley Finkelstein: Thanks, Katie and good morning everyone. 2018 was another phenomenal year for Shopify and for our merchants. We hit major product milestones while stepping into new and exciting territory and we continue to evolve as an organization in our mission to make commerce better for everyone. First off, I want to thank the team at Shopify for their passion and hard work over the past year. We wrapped up an amazing year and delivered incredible fourth quarter as a result, and together we achieved a truly incredible milestone this year. No other SaaS company at the $1 billion revenue market has ever grown at this rate, 54% in our last quarter and 59% for the full year. This is historic, not just for us, but for the industry. It is truly something to be proud of. How did we get here? Simple, merchant success has been and will always be our top priority. It guides the decisions we make on a daily basis and is infused into everything we do at Shopify. This is reflected in our fourth quarter and across our three priority areas of investment in 2018; Platform, Shopify Plus, and International. Let's start with Platform. We aim for Shopify to be the first thing that merchants open in the morning and the last thing that merchants close at night. In other words we want Shopify to be the heart and soul of our merchants' business helping them sell more and work more efficiently so that they can focus on the things that really matter to them. The features that our product team shipped this year were geared towards achieving this; multilocation inventory, Shopify Ping and our Centralized Marketing Dashboard helps streamline operations, while Dynamic Checkout and new discount features are designed to enable merchants to personalize a buyers purchase experience and increase sales conversions. Our Services Marketplace and our updated app store leverage our data algorithms to further automate and simplify back-office processes. While Fraud Protect which we launched in the fourth quarter allows merchants to automatically fulfill more orders with confidence. These platform improvements along with our core proposition of multichannel sales enablement contributed to our biggest ever black Friday, Cyber Monday sales weekend with more merchants and more GMV per merchant than ever before on the Shopify Platform. Our merchants generated more than $1.5 billion of GMV during the four days of BFCM 2018 compared to $1 billion over the same period in 2017. And two thirds of Shopify merchants online orders in the U.S. came through mobile devices compared to under 40% for the industry which shows what a difference mobile-first design makes. To offer our merchants further support we opened our first physical space in Los Angeles in the fourth quarter which has exceeded our expectations. Thousands of people have already visited the space to participate in one-on-one sessions, special events or educational programs. Product photography, formulating a sales channel strategy, paid advertising, email marketing, and selling in person with point-of-sale are just a few of the practical topics we cover to get entrepreneurs launched and selling. The simplicity, agility and cost-effectiveness of Shopify have attracted merchants across the retail spectrum, including high-volume merchants looking for a powerful solution to manage their increasing business complexity, a qualitative they have found in Shopify Plus. Shopify Plus ended the year with approximately 5300 merchants with launches in the fourth quarter from a wide variety of verticals including consumer packaged goods companies like Johnson & Johnson, Unilever, Procter & Gamble, and General Mills. Iconic fashion houses, Steve Madden, Nicole Miller, and Jones New York, more traditional fashion retailers like Wet Seal, sporting goods companies like Spyder Ski Wear, Craft Sports, Helinox and Specialized Bicycle. And we're also seeing increased uptake in new retail verticals. In the fourth quarter, The Merch Store for the popular videogame Fortnite launched in Shopify Plus. Influencers and celebrities continue to choose Shopify as their home for their brands including the Obama Foundation, Tom Brady's brand TB12 and also one of my favorite new stores Ladder founded by Arnold Schwarzenegger, Cindy Crawford, Lindsey Vonn and LeBron James. The majority of new Shopify Plus merchants added in the quarter were brand-new to the Shopify Platform. But we also continue to see a volume of upgrades. In 2018 we invested in growing the plus sales team which along with the expansion of our Plus partner network contributed to the strong growth witnessed this year. We also entered a new retail vertical, the Canadian cannabis industry. Some of the country's largest provinces and the largest licensed producers that flock at Shopify experienced excellent uptime and performance on launch day and beyond which demonstrates the fitness of our platform for regulated industries around the world. We are likewise expanding our product market fit for the greater number of businesses by continuing to develop more advanced enterprise level features and functionality such as Launchpad, Scripts and Flow, all tools to help merchants upscale, customize and work more efficiently. Launchpad is a specialized tool that lets Plus merchants plan and automate flash sales, product launches and sales campaigns. Scripts, enables merchants to optimize their e-commerce checkout in several ways, such as automating discounts and promotions. And Flow is our integration tool that allows merchants to offload repetitive tasks such as reordering inventory, letting merchants focus on growing bigger, faster. By building more sophisticated features to deliver a unique product experience that meets the needs of higher volume, more complex merchants. We've broadened our appeal to an even greater number of potential Plus merchants. This approach helps Shopify Plus become a more significant contributor to Shopify across every metric in 2018 and we expected that Shopify Plus up continued success in 2019. On the International front, a key step we took this year was translating the Shopify Platform which is now available in seven languages. This single undertaking in 2018 boosted merchant access to and merchant success on Shopify outside our core geographies of North America, the UK and Australia. Our mix of international merchant adds expanded to its highest level ever in the fourth quarter and our lead to conversion rate improved in markets where we translated the user interface. As such, merchants from outside our core Geos accounted for 24% of our merchant base 2018 up from 21% in 2017. And the contribution from international merchants to total GMV on our platform continued to increase with the GMV more than doubling over 2017 in three out of our four priority countries. As always, a very important part to make your mission a reality are our partners, who play a critical role in the success of our merchants and the success of Shopify. Our partner ecosystem remained strong with approximately 18,000 partners having referred merchants to Shopify over the past 12 months. Thanks to the improvements to search and classification that rolled out in the app store in 2018. The nearly 2500 third-party apps on our platform are finding their way to merchants more efficiently than ever. It's clear that our merchants are getting value from the apps on our platform. As measured by the percentage of merchants using them and the dollars spend per merchant both of which continue to trend upward in Q4. Before handing the call over to Amy, I want to note that I've never been more optimistic about the opportunity Shopify has and how we're executing on that opportunity with over 4000 of us focus every day on making commerce better for everyone merchants and buyers alike contribution to entrepreneurship and a more vibrant commerce ecosystem across the globe is growing. This is why we do what we do and why we are so excited about our future.
Amy Shapero: Thanks Harley and good morning everyone. As Harley mentioned, 2018 was a fantastic year for Shopify as we continued our strong growth trajectory ending the year with more than $1 billion in revenue and achieving adjusted operating profitability for the quarter as well as for the full year. Shopify's ability to give merchants superpowers was on full display in the fourth quarter. We expanded revenue 54% year-over-year to $343.9 million on strong performance from both subscription solutions and merchant solutions. Subscription solutions revenue grew 42% to $133.6 million as we continue to attract new merchants ending the year with more than 820,000 merchants on the Shopify Platform. Monthly recurring revenue grew 37% year-over-year to $40.9 million primarily driven by merchant adds. Shopify Plus continued to increase its contribution to monthly recurring revenue accounting for $10.4 million or 25% compared with 21% of MRR in Q4 of 2017. Strong app and platform fee revenues contributed to the 5 percentage point difference between the growth of subscription revenue and MRR. Merchant Solutions revenue grew 63% over the same period in 2017 to $210.3 million. This growth was driven by GMV expansion which increased to 54% year-over-year to $14 billion. Continued penetration of Shopify payments, shipping and capital also contributed to this growth. The highlight of the fourth quarter came during the Black Friday, Cyber Monday weekend as Harley mentioned more than $1.5 billion was transacted on our platform over those four days. During this period, peak sales reached $870,000 per minute and $37 million per hour while our platform experienced zero downtime. This performance is an absolute testament to the resiliency of the Shopify platform and the talent of our infrastructure and support teams. $5.8 billion of GMV was processed on Shopify Payments in Q4, an increase of 65% versus the comparable quarter last year. Payments penetration of GMV was 41% versus 39% in Q4 2017 as Shopify Plus continued to increase its share of GPV and we made headway expanding Shopify Payments internationally. Capital and Shipping, both higher margins solutions also turned in strong performances year-over-year in the quarter and together doubled revenue for the full year. Gross profit dollars grew 53% from Q4 2017 to $185.7 million despite a greater mix of merchant solutions revenue versus last year, reflecting the greater contributions made by Shopify Capital and Shopify Shipping as well as the expected rebound in subscription solutions margin with the cost related to the migration to cloud now behind us. Adjusted operating income in Q4 grew 72% to approximately $20 million or 6% of revenue compared with $11.6 million or 5% of revenue in the fourth quarter of 2017. Adjusted net income for the quarter grew 90% to $27.9 million or $0.26 per share. This compares with income of $14.7 million or $0.15 per share in last year's fourth quarter. Finally, our cash, cash equivalents and marketable securities balance was approximately $2 billion which increased around $390 million largely due to proceeds from a share offering we completed in December. We continue to see a tremendous opportunity for growth at Shopify and we're still in the early stages of achieving our mission to take commerce better for everyone. Our decision to raise capital in Q4 was guided by this mission in order to fund these opportunities to make merchants lives easier and build for the long term. Merchants of all types choose Shopify and start, manage, and grow their business. This is because our platform enables merchant growth and success, no matter their size or scale. The simplicity, agility and cost effectiveness of the platform, combined with the support of our rich partner ecosystem provides every merchant an opportunity to build a successful business. There are primarily three types of merchants that join Shopify; early stage entrepreneurs or aspirational merchants who are at the very top of the funnel, more established merchants who have demonstrated a certain level of success and Shopify Plus, larger brands with greater volumes and higher degrees of business complexity, understanding the different types of merchants who use our platform and forms a product roadmap in areas of investment to best ensure overall merchant success and expand our total addressable market. In 2018 we focused our investments in Shopify Plus, our Platform and International buy building a richer set of features and enabling even more merchants around the world to start selling and to sell more efficiently. As a result today, we are seeing continued strength of Shopify's GMV growth, continued strong merchant cohort performance and an expansion of our international merchant base. Our success today would not be possible without investing for the out-years and as such we plan to continue investing for the long term. We believe that actively managing a portfolio of growth investments with different return time horizons is necessary for continued strong growth in 2019 and beyond. Let's preview our larger focus areas in 2019. First is International. We first became an international company by accident with no translation and little spend to encourage merchant adds outside our core geographies. In 2017 we saw promising results when we began to translate blogs with a greater mix of merchant adds from International. In 2018 after we translated our platform, this growth in international merchant adds accelerated, again outpacing strong merchant growth in our established markets. These positive signals along with substantial growth from geographies we haven't yet translated merit expanding our investments in these markets. Each geography has its own norms and preferences with respect to languages, partners, payments and design, development of commerce, and entrepreneurial culture and affinity for local versus cross-border selling. While we are seeing positive early results we expect our continued investments in international growth will play out over several years. Second, is the Shopify brand a new area of investment for us. We have enjoyed exceptional organic growth in our merchant base despite having very low brand awareness with approximately $30 million of investment in 2019 directed toward building the Shopify brand beyond online and to mass-market media channels we believe we can reach and be recognized by a far greater number of potential merchants. We are also stepping up our efforts to catalyze new business creation and success as our launch of Shopify Studios last month attests. Overall, the objectives of our brand investments in 2019 are to catalyze entrepreneurship, increase awareness of the Shopify brand, widen the top of the merchant funnel and drive up the efficiency of our direct marketing spend over time. As with all new investment areas, we expect 2019 to be a learning year for us with most benefits expected to accrue in 2020 and beyond. The third major focus area for investments in 2019 is product expansion. One thing we have learned over the last 12 years is that merchants love what Shopify does for them and they would like us to do more. This is why we launched Shopify Plus in 2014, Shipping in 2015 and Capital in 2016. In other words, with our strong track record of innovation on behalf of merchants, they expect us to keep at it, to keep helping them to out innovate, outsell and outcompete. To be constantly improving for merchants we have to be constantly improving ourselves. Creating the right version of Shopify for 2019 and beyond, means investing in new capabilities in Shipping and other areas that will enhance both the merchant and buyer experience and drive higher conversion. While we will not go into specifics today, I can tell you that we are building for the future and there is more to come later this year. Alongside these newer opportunities to expand our total addressable market, increase our marketing efficiency, and gain a greater share of wallet, we will maintain our investments in Shopify Plus and our Platform where our returns have been evident. We have earned an advantageous position both in the market and within our merchants' own operations and by continuing to seize opportunities to deliver more value to more merchants as we are doing with these investments in 2019, we are helping to secure Shopify's status as a high growth company for a very long time. For 2019 we expect to see strong top line growth with revenue for the full year in the range of $1.46 billion to $1.48 billion and an adjusted operating income range between $10 million and $20 million. For the first quarter we expect revenue of $305 million to $310 million and an adjusted operating loss between $13 million and $15 million. Stock-based compensation in 2019 is expected to be approximately $160 million for the full year with about $34 million of this in the first quarter. Our expectations for continued strong growth in 2019 reflect our favorable competitive position as well as our ability to benefit from secular trends in global commerce, including multichannel, direct-to-consumer, mobile and others. We are excited about what we can do for merchants in 2019 and about our contribution to maintaining a vibrant and healthy commerce landscape that empowers merchants around the world. With that, I will hand the call back to Katie.
Katie Keita: Thank you, Amy. Before we open the call up for everyone's questions, I'll remind you to please limit yourself to one question, so everyone who wants ask a question has time to do so. Lisa, can we hear from the first questioner please?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Brad Zelnick from Credit Suisse. Your line is open.
Brad Zelnick: Thanks very much and congrats on a strong finish to a great year. I didn't hear Tobi on the call, is he with us today?
Tobi Lütke: I'm here, hi Brad.
Brad Zelnick: Excellent. Hi Tobi, I have a big picture questions and I know it's super early, but what are your thoughts on augmented reality and the impact it can ultimately have on e-commerce?
Tobi Lütke: Love it, great. I mean it's very early right? We are sort of the foundational infrastructure stage of augmented reality. Now I do think that augmented reality will be the final or at least second to last form factor for computing. We started with mainframe and went to desktop computers, we and then reached to mobile phones. We are going to go to augmented reality as a primary from of digital consumption somewhere in the next probably decade, decade and a half and then eventually to direct interfaces. So I think everyone should have a good strategy, but I'm not sure how much it is going to immediately matter, like we will find initial use cases. We have prepared the platform for it, so you can go to a number of Shopify stores and you know sort of seize it a little bit early fruits of that labor, you can look at couches, you might want to buy in your web browser on Shopify stores and then instead of looking at pictures you can actually place something in your living room and see if it actually fits dimension wise all these kind of things which is really, really cool. But there is such an enormous amount of work that has to happen to get proper 3D models of the products, you know pick out how to permanently place objects in the real world and then of course we sort of are all standing by until the other companies can figure out how to miniaturize all the coupons [ph] put them in proper classes. And so, the impact will be significant I think, but it will almost will be more on the side of – here's what happens every time we do a major transitions in technology, you're going to end up different companies which are going to adjust to it and the ones that don’t. And so one major component, the story until Shopify came around has been that SMB's had a lot of trouble completing with larger companies and one of – there's many reasons for this and then operational efficiency, but one major reason was that we went with so many transitions in technology and every single time that happened, like let's say we go to, everyone needs mobile and they have a website or something opens like this, and all the SMBs will spend once money for some technology and then didn’t have a proper budget set up to keep these things innovative, it’s the high end of bigger companies which have dedicated development teams to keep them relevant. And so all those missed these new transitions and then ended up in trouble when consumer behavior changed. What Shopify really wants to do is, we want to solve this problem for us, more this is like they decide to be with Shopify, we tell us about their products, every once in a while they come by and say, hey there is no need for 3D models and here is a way to get those and here's our amazing partner ecosystems which can help you with this and but we keep that to a minimum and we just make sure that once consumer behavior changes and everyone wants to see the couches they are about to buy actually placed in their living room [indiscernible] classes which might be released at this point that all of our customers are ready for this kind of thing. And so this is the way where augmented reality sits right now.
Brad Zelnick: Thanks so much for the color and thanks for taking my question.
Katie Keita: Thank you, Brad.
Operator: Our next question comes from the line of Ken Wong from Guggenheim Securities. Your line is open.
Kenneth Wong: Thank you very much. Maybe a question for Amy, you touched on a lot of investment for 2019, maybe if you could just circle a little bit on just gross margins, how should we think about gross margins relative to 2018 when trying to figure out to manage through the operating income goals that you guys tossed out there?
Amy Shapero: Yes, sure. Let me just break it down for you by the subscription solutions and merchant solutions and then we'll talk a little bit about overall gross margins. So with respect to subscription solutions margin we should generally see improvement year-over-year. The first three quarters of 2018 were impacted by the cloud migration and we saw in the fourth quarter of 2018 we did see a rebound. So generally for 2019 calling for improved subscription solutions margins year-over-year. With respect to merchant solutions margins, we expect sort of steady-state with a slight bias towards improvement. There are some puts and takes with respect to what's in there. We have continued growth of high margin products like Shipping, Capital, Fraud Protect. We expect Payment margins to continue to be relatively strong and steady. Within that, International Payment margins tend to be higher than average, but there are some downward pressure on that as Plus merchants continue to take Shopify Payments. So generally, calling for steady merchant solutions margins year-over-year. When you step back and then you look at the overall blended gross margin, there will be some pressure, some slight downward pressure as we continue to see higher mix of merchant solutions revenue year-over-year. But I'd like to just emphasize that we aren't optimizing for an overall gross margin. We're focused on gross profit dollar growth, that's what we think is important, that the signal to us that our merchants are successful and that we're sharing in that upside and that a trade-off we are happy to make.
Kenneth Wong: Got it, thanks for that Amy.
Amy Shapero: Great.
Katie Keita: Thanks Ken. Next question please?
Operator: Our next question comes from the line of Colin Sebastian from Robert Baird. Your line is open.
Colin Sebastian: Great, thanks. I'll add my congratulations on a strong year. May be also a big picture question for Tobi, but given that Shopify's success rests in large part due to the strong underlying technology stack, I guess I'm wondering, you know your level of confidence that the current platform has structure with rails and containers and will continue to scale efficiently at such a high level of growth and volume and performance or do you foresee the need maybe to step back and reinvest in the platform over the next couple of years? Thank you.
Tobi Lütke: Yes so, you know what, a mentor of mine once told me that when I was doing my apprentice as a programmer like in Germany that when you start a software project you have about two years of making changes to it afterwards it is like someone put cement to code base and you are never going to change a thing anymore and, that was two, back then in the '90s. So I've been terrified of that ever happening and you know the industry has matured significantly. We know a lot more about software craftsmanship than we did in the '90s and one this Shopify has done from the beginning and that was really very difficult and we're like very scrappy startup time to just sort of survive. Most, once you've figured out a better way to do a certain thing, or a better way to architect certain things we actually went back and made those changes instead of accumulating technical debt, that of course you end up having to pay a lot of interest on over the years. And the Shopify has had it done that [ph] and broken art and just making sure that the platform is able to adapt to new realities as quickly as the people in the company want to do it and as the market dictates that we do. And I think we are in very, very, very good shape given like sort of a vintage of a code base and the technologies that we chose have all proven to stand the test of time. I know there tends to be per technology where all those bull stories and bear stories on you know it worked well for some people and it worked not well for some folks. The technology we chose was the foundation for the main business logic of Shopify has worked exceptionally well and works exceptionally well to this date. Now Shopify is a platform of enormous scale at this point. We are using a lot of different technologies that are specialized for certain instances, especially around things like storefront traffic, this is a significant percentage of Internet traffic at this point on our storefronts and so there were have the foundation to change out some bits of technology just with something that's more carefully designed for these kind of cases and these are the kind of changes we do and we take the time to do them and we want to keep the platform fresh. I really don’t think we will have to be one competitive at some point in a big rewrite diffusely is a sort of last resort kind of situation that is to be avoided and I think we've – I think we have done a good job keeping the technical debts low enough to be able to, yes there is a little bit of interest that we have to do and go back and paydown whenever we have a chance.
Colin Sebastian: Thank you, thank you.
Katie Keita: Great, thank you Colin. Next question please?
Operator: Our next question comes from the line of Monika Garg from KeyBanc. Your line is open.
Monika Garg: Hi, thanks for taking my question. Amy, you know one question is operating margins you are guiding on flattish like 1.2-ish percent for 2019. Even you are guiding to a strong growth in 2019, could you walk through like, how, why we are not seeing more leverage and at what time do you think we can see more leverage?
Amy Shapero: Yes, we still see continued strong growth, huge opportunity in front of us and so we're going to continue to invest OpEx areas. With respect to sales and marketing, we will see some light operating leverage in 2019, but we see opportunities to continue to invest in International and Plus. We talked a little bit in my earlier remarks about the $30 million for brand spend and so not all of those investments will necessarily pay off in 2019, but will help us continue to grow at strong rates well into the future. With respect to R&D, we likely will not see any operating leverage as we continue to invest in the areas where we have been investing, Plus, International and some newer capabilities to be announced later and so we're adding technical talent there. And then with respect to G&A, might see some slight operating leverage, but we'll continue to invest there as well for the future. It's too early to talk about when we might see more operating leverage while we see opportunities for growth. We're going to continue to invest for the longtime long term as we have in the past.
Monika Garg: Thank you.
Katie Keita: Great. Thank you, Monika. Next question please?
Operator: Our next question comes from the line of Tom Forte from D. A. Davidson. Your line is open.
Tom Forte: Hi, good morning. Thanks for taking my question. So the question I had was, what are the keys to your success in highly regulated markets such as cannabis? And then stated differently, what are the keys to your skill set that enable you to help merchants exploit highly regulated markets?
Harley Finkelstein: Hey there it's Harley. I'll take that question. So part of it, just to be clear, the reason that we were so aggressive in going after the Canadian cannabis market was, we felt that – what the Canadian Government was legislating was very clear and it made it easy for us to understand what was required, but what it also did was it also positioned us if we did this right to be a global leader and be the first phone call that any other country thinks about when they're thinking about regulating or allowing cannabis sales to the consumer to be to be allowed. So a couple of things that had to happen. One was we were able to work with very tight timelines because effectively we were given only a couple of months to know all the legislation and how it would be implemented. The second was we also had to abide by very specific legislative requirements and so things like age verifications for example or in the case of licensed producers the need to do what they call Seed to Sale applications. And so we felt that there was a good challenge for us not only as a business, but also on the engineering side and if we were able to secure most of the major provinces and most of the major licensed producers which we did and then be highly successful at that, that it would open the doors for us for a really good future as cannabis sales increase internationally. And actually funny enough the provinces that didn't use Shopify, did have some problems and the ones that did use Shopify had no problems whatsoever so we're quite proud of that. But really the Canadian cannabis push was really not only just to get a foothold in the Canadian market, but also ensure that we have a really good positioning globally as things begin to decriminalize.
Tom Forte: Great, thank you very much.
Katie Keita: Thank you, Tom. Next question please?
Operator: Our next question comes from the line of Richard Tse from National Bank Financial. Your line is open.
Richard Tse: Yes, thank you. From capital allocation perspective, I was wondering if you can provide some color on sort of the thought process around how you make those decisions and where you might be focused more today?
Amy Shapero: Yes, sure. I'll start with that one. We obviously start with our merchants and what their needs are. And as I said, we look at three merchant segments, Aspirational, Core and Plus and our investments are largely geared towards better serving them and continuing to grow our capabilities there and also to increase our TAM. We talked a little bit about international in my earlier remarks which I think is typical of how we invest, we'll typically start where we're testing somewhere as we did in international we talked about blogs and how we saw early success with translating blogs. And then in 2018 we started investing in earnest in International where we picked four key markets to focus on localizing and we saw that localizing actually produced significant results. Three of our four focus countries actually more than doubled their GMV year-over-year and so we saw success there. So we learned and so we're taking those learnings and now taking that to the next level. And in 2019, we'll continue to localize in the markets where we're at. We'll continue to translate into new languages. And we'll continue to look at new markets, but we'll do it in a very focused and concerted way. So we've been smart allocators of capital in the past and we'll continue to invest in that sort of way and allocate capital in a smart way.
Richard Tse: That’s helpful. Thank you.
Katie Keita: Okay, thank you, Richard. Next question please?
Operator: Our next question comes from the line of Darren Aftahi from Roth Capital Partners. Your line is open.
Darren Aftahi: Good morning. Thanks for taking my question and congrats as well. Just on the rest of world growth, do you think there one, any geographies you can call out that other index growth? I know there was one country you said three of the four did well. And then two, as it pertains to international investment and additional kind of regions, countries, languages, you can kind of call out where that investment is directed to? Thanks.
Harley Finkelstein: Hi there Darren, it's Harley. I'll take that call. So as you sort of called that last year there were a couple of priority countries that we focused on. The reason we focus on those four countries to start was we felt that we had the closest product market fit in those countries, yet we weren't necessarily translated, from a language perspective. We didn't have the right payment methods in place. We certainly had a very small if any partner ecosystem. And so we thought that's where we can get the most leverage from with the least amount of work. That being said, there's still quite a bit of work to do in those countries. And as Amy just mentioned the results sort of speak for themselves, the fact that GMV doubled in three out of those four was incredibly we thought that was really great. Now we will also look to some new countries in the future. We're not going to call those out right now, but we will continue to expand and figure out where else we can find product markets fit. That being said, you know as Amy mentioned in her prepared remarks, we really, I mean we were accidental International in the early days. We were - merchants beat a path to our door. We really weren't doing very much. Now we're really beginning to focus on it. We have the right team, the right leadership, and I think you'll see a lot more from international as indicated by our merchant going merchant going from 21% of total merchants on our platform being rest of world to now 24%. So I think we will continue to see good growth in international.
Katie Keita: Great. Thank you, Darren. Next question please?
Operator: Our next question comes from the line of Samad Samana from Jefferies. Your line is open.
Samad Samana: Hi, good morning. Thanks for taking my questions. So net merchant adds on a full year basis for 2018, looks like there are Plus 211,000 down slightly from Plus 232,000 in 2017, but sales and marketing spend itself is about 50% year-over-year. So I'm just wondering if how we reconcile maybe how net margins have trended in 2018 and how you think the investment dollars in sales and marketing should translate into merchant growth in 2019? . That will be helpful. Thank you.
Amy Shapero: Yes, I would. We - we're happy with our merchant adds in 2018. We feel like we have a strong and healthy and growing TAM which is evidence from the plus growth that we saw in 2018 as well as International growth. One of the things, I'd encourage you is this isn't just about merchant adds. We feel very confident that we will continue to add merchants well in to future, but this is also about GMV growth, share of wallet growth, and overall revenue growth. So that's how we look at it. In terms of sales and marketing, some of that spend in 2018 was absolutely geared towards adding merchants in the year, but some of that is longer term investment in International and Plus and we also invest in areas like product marketing that don't necessarily show up in merchant acquisition, but show up in product adoption and take rate. And so I think you have to look at it a little bit more holistically. And then just lastly, I'd say that we keep a very close eye on our LTV to CAC ratio and that continues to be healthy and strong and while that's continuing to be strong we're going to invest healthily for sales and marketing.
Samad Samana: Great, thanks I appreciate that answer.
Katie Keita: Thank you, Samad. Next question please?
Operator: Our next question comes from the line of Ross MacMillan from RBC Capital Market. Your line is open.
Ross MacMillan: Thanks so much, and my congrats as well. Amy, just on take rate when we think about Merchant Solutions revenue relative to GMV that's been growing nicely but it was a little flat in Q4 versus Q3 and I was just curious as to why that was given gross payment volumes as a percentage of GMV were higher? And then maybe just bigger picture, as we think about adding more merchant solutions do you have a kind of view on what you'd like to target in terms of that increase in that take rate relative to GMV over time? Thanks.
Amy Shapero: Thanks. Sure. With respect to take rate in the fourth quarter, our overall take rate quarter-over-quarter was flat. But if you dissect take rate by merchant segment Aspirational, Core, Plus and International, take rate actually increased quarter over quarter for every merchant segment. What you saw in the fourth quarter was a GMV mix change. We saw very significant growth in GMV from Plus in International and those are lower take rate segments. They are earlier stage in terms of the introduction of Merchant Solutions. And so, I would actually view that as a significant opportunity for us going forward. It shows that our investments in those areas are paying off. Merchants are successful, their GMV is growing, and we have an opportunity to go more fully monetize that GMV over time. There could be some headwind a little bit near-term because of the strength of POS and international GMV, growth but we fully expect our take rate will increase over the course of 2019 and beyond. We don't have a target rate. We tend to focus mostly on what we believe merchants need and we feel like the take rate will sort of take care of itself over time. But we are focused on increasing our share of wallet and we'll continue to do so into the future.
Ross MacMillan: Thank you so much.
Katie Keita: Thank you, Ross. All right, next question please?
Operator: Our next question comes from the line of Gus Papageorgiou from Macquarie. Your line is open.
Gus Papageorgiou: Hi, thanks. Thanks for taking the question. So in the quarter you, sorry, in the year you paid out $100 million to your partners and app developers. I think that's up from $50 million last year. Can you kind of help us characterize, what do you think your competition is paying out and would you look at your platform and its differentiation? Could you kind of quantify how important is that application ecosystem versus your competition? I mean does it account for half the differentiation or a third or anyway you could kind of quantify that would be helpful?
Harley Finkelstein: Hey, it's Harley. I'll take that. I mean look from the early days of Shopify, we've always had this really great relationship with our partners. In fact, we don't have a merchant conference, we actually have a partner conference called Unite that many of you have attended. They're important part of what we offer. What the partner app ecosystem allows Shopify to do it is it means that every single merchant on Shopify gets exactly what they need from us. We are able to provide with most of the merchants and most of the time, but every merchants business is really unique and we can't necessarily anticipate every single need of every individual use case. The partner ecosystem allows us to ensure that that every merchants business no matter what they require they are able to get a solution for the exact complexity of their particular business. That's really important. To your other point which is how do we ensure that you know competition from - for our partners, we've always been generous with our partners. If you look at our rep share structure it's an 80-20 split which has always been quite generous beyond that rather than giving a bounty for referral we pay rep share in perpetuity. What we really try to do is not only get partners to build on Shopify and refer merchants to Shopify but over the long run become exclusive to Shopify. And now that we have more merchants than any of our competitors do certainly in the SMB side it means that most of these partners are only building and only referring business to Shopify. We really like that. The other thing we're also seeing is that some of these partners are growing so large in just supporting Shopify that they themselves have built multimillion dollar companies, building apps and themes and doing services for our merchants. So we're really happy with our positioning with our partners. The relation we have with them is very, very strong and that will continue long into the future. It's an important part of our business.
Gus Papageorgiou: Great, thank you.
Katie Keita: Thank you, Gus. Next question please?
Operator: Our next question comes from the line of David Hynes from Canaccord. Your line is open. 
David Hynes: Hey, thanks guys. I want to ask about some of the marketing automation enhancements you've made to the platform right, we have Marketing Dashboard, Ping, Kit. I'm sure I'm missing some, but where are in terms of the build out of that suite versus your vision and what are you seeing in terms of early customer adoption?
Tobi Lütke: I mean, early customer adoption is really good because that again Shopify is the interface that people spend most of their time with than thinking about their business, so that's a nice situation we got ourselves into from a introduce standpoint. On where we are at this is, it's really early. It may be just sort of the clear intention, that's the way I would put this. So there's a lot more work to be done. It's a very big space and we are mostly interested in marketing simplification, increasing approachability of marketing rather than the actual industry of marketing optimization which is massive. And it would be too much for us to support although we would like both to feedback into Shopify and so to again give the merchants all the data they need in one place. So, there's a couple of different things going on, but it's definitely an area that we are spending a good deal of time just looking to see how we can we have, how can we make, how can we get people to competently run their first couple of campaigns just to get into the mind space of, this is how growth looks on the Internet, how to can - once they allocate some capital we would like to have them use it as wisely as possible based on all the data that is available. We have them interpret the results, learn from them, take a next step and so on and that's the main focus right now and we'll have to see where this road leads us. We don't have – this is one of the areas where we do not have like a world domination ambition. We just want to – we kind of have to do it because, it seems like it this – the marketing world and industry seems a little bit like what e-commerce was like before Shopify came around as in everyone focused on the people who already had a lot of money because obviously they are better customers, but what everyone then tends to forget is, you have to have the new guys too because otherwise you eventually run out of people who already have money. You need new ones to come into the market and they need a road there. So, we are picking up the slack that I think the industry is leaving at the bottom of the market because it just for - we just have better business model alignment with that segment, so that's the main area of focus for us.
David Hynes: Yes, that makes sense. Thank you.
Katie Keita: Great, thank you. Next question please?
Operator: Our next question comes from Deepak Mathivanan from Barclays Capital. Your line is open.
Deepak Mathivanan: Hi, guys thanks for taking the question. This is somewhat related to Ross’s question from before, one of the strong bullish trends that you're seeing is actually Payments adoption by the Plus merchants. Can you give some color on where Payments penetration is currently on Plus either as a percent of merchants are as GMV, just trying to get some sense of which inning we're at? Thank you so much.
Harley Finkelstein: Yes, in terms of, if you recall in the early days of Plus obviously we had mostly upgrades to the Plus platform or the Plus plan. So a lot of those merchants tended to already be on Payments. Obviously now more than half of the new Plus merchants that came in the quarter are new to the platform and we're seeing some incredible brands and because we are able to offer competitive rates, some of them are coming over. Obviously they are getting much better pricing because of their volume. We will continue to push that of course. Now keep in mind also there are some additional benefits using Shopify Payments. For example things like Capital and Fraud Protection and these sort of products are only available if you Shopify Payments and so there's an inherent incentive beyond the financial incentive because we do have a 15 basis point fee if you don’t use Shopify Payments and it's available in your geography. So I think that will continue to go, again merchants are adopting it for a bunch of different reasons, but over time I think you'll see continued adoption there as we add more products around Payments that will continue.
Katie Keita: Great, thank you, Deepak. Next question please?
Operator: Our next question comes from the line of Nikhil Thadani from Mackie Research Capital. Your line is open.
Nikhil Thadani: Great, thanks guys. I just wanted to go back to some of the previous merchant questions as it seems like you're getting a lot of traction from merchant growth outside your core geos. So, maybe if you could just, give us some nuances of how that works in those new markets perhaps with regards to the merchant acquisition funnel, the lifecycle or maybe even your product roadmap, what's different in these new geographies for these new merchants versus your existing merchant base out there? Thanks guys.
Harley Finkelstein: Thanks for the question. What we're learning is, every geography is a little bit different. In some of the geographies we are leaning very heavily on our partner ecosystem and that's why it's an important part of our strategy internationally. In other places, the strategy for getting new merchants and reflect some of the things you've seen in North America. So there's a bit of a mix. On the product side, every geography needs something different, something like compliance certificates which are incredibly important to German merchants are not nearly as important let's say to merchants in a place like Japan. And so what we're trying to do is try to understand the nuances what each country really needs and then building around that. The idea of creating sort of one size fits all or feature parity model, it just doesn't work, if you're going to do a really good job at increasing Shopify's reach around the world. So we're being very thoughtful about that. But I would say from a merchant acquisition perspective those are all different on a per country basis.
Katie Keita: Great, thank you Nikhil. Next question please?
Operator: Our next question comes from Ygal Arounian from Wedbush Securities. Your line is open.
Ygal Arounian: Hey. Thanks for taking the question. Just a little bit on Plus merchants, a little bit more. So Harley, I think – did you mention, I just want to make sure I heard it correctly that over 50% of your net new Plus merchants are coming organically up the funnel from lower tiers? And then the ones that are coming or replatforming from other tiers, are they are replatforming from other from other platforms that they are the new to e-commerce and what are you seeing as kind of the key drivers of why they choose Shopify Plus over another platform? Thanks.
Harley Finkelstein: Yes. So to be clear, more than half of the new Plus merchants in the quarter are brand new to Shopify, so less than 50% are upgrades. So we're seeing lot more merchants that are coming to us for the first time and joining Plus. I think one of the most intriguing parts of where Plus is at right now is all these different verticals. Initially again, it was really just an upgrade path for our most successful merchants. Now what we're seeing is, we're seeing like I mentioned in my prepared remarks, PPG [ph] is coming on. We're seeing more traditional retailers that traditionally only existed in shopping malls that are coming on. And so we're seeing all these different verticals. The sort of celebrity brand vertical is really heating up and we seem to be the platform of choice for them. So that is really exciting to us and some of these verticals we've never anticipated would be verticals that we would be able to attract in the early days and being very successful with that today. In terms of where they're coming from, certainly some of them are migrating to us from more traditional enterprise e-commerce platforms. Usually they're coming to us for one of three reasons, either ease of use, pricing or flexibility. When they hear that Apple is releasing Apple Pay they want to be able to use it right away and not have to wait six months and have a bunch of meetings to talk about that or augmented reality for that. Tobi had mentioned earlier on. So we're actually seeing a bunch of different ways they're coming to us. Some of them for the first time ever are selling direct to consumer and that seems to be a really important piece of retail and the future retail. And for a lot of these direct to consumer brands whether it's Rebecca Minkoff or Steve Madden type brands, Shopify Plus is becoming the ones that they're - that they're choosing. So I would say that for the most part they're coming to us from a wide variety of different types of migration paths. Again some are brand new to market, some are migrating from more enterprise platforms and I think that will continue long into the future. But Shopify Plus has really cemented itself as the go to for the DTC big brands that want major flexibility and they want to be able to scale very quickly.
Ygal Arounian: Great, thank you, so much.
Katie Keita: Thank you, Ygal. Next question please?
Operator: Our final question today will come from the line of Brian Peterson from Raymond James. Your line is open.
Brian Peterson: Hi and thanks for the question. So just with the $2 billion on the balance sheet could you just give us an update on how you're thinking about build versus buy or there's been some M&A activity which is probably more tuck-in nature? I'm just curious of your appetite for anything from an M&A perspective may have changed given the capital raising? Thank you.
Amy Shapero: Yes. I'll take that one. We fully expect the cash on the balance sheet from the capital raises to be used to achieve our business strategies which will likely include M&A. If we see an attractive opportunity to accelerate or our product roadmap we will certainly pursue it. And so, it's really just to maintain optimal flexibility and optionality.
Katie Keita: All right, thank you, Brian. Thanks everybody for dialing in and we will talk to you soon.
Operator: Thank you for listening. This concludes today's conference call. We will now just connect.